Hugh Duffy: So good morning, everyone, and welcome to the presentation of our results for fiscal year '24. Our agenda is an update from myself for the group, then David Hurley for the U.S., Craig Bolton for the U.K. Anders Romberg, our CFO, will go through fiscal year '24 results and fiscal year '25 guidance. I will then present an update on our '25/'28 long range plan and we will then open for your questions. The Watches of Switzerland Group operates in great product categories. The luxury watch market, which is more than 90% Swiss is robust, resilient with our long-term focus on product quality and innovation. Demand for Swiss luxury watches exceeds supply for key brands and consumers often wait patiently for their chosen timepiece, in many cases for years. The market was impacted by the pandemic. 2020 was impacted by lockdowns, then 2 years of unusually high growth for luxury watches and jewelry. And since mid-2022 the markets have adjusted to this high growth and normalized. Looking at this volatile period in total. The luxury watch market has been strong as seen with average growth for the U.K. of 6.3% compounded per annum from 2019 and that is despite the loss of tourism in the U.K. and in the U.S. average market growth has been 14.6% evidencing the underdevelopment and potential of this market. A further significant factor in the U.K. in FY '24 has been the impact of cumulative price increases from the brands due mainly to the strong Swiss franc at a time of high interest rates and cost inflation. This resulted in a perceived affordability gap and a drop in volume with the aspirational consumer segment. We are encouraged the brands have responded to this development through product introductions with product affordability and product appeal. The Watches of Switzerland model focusing on large welcoming luxury showrooms and great client service continues to succeed and we gained market share in both the U.S. and U.K. markets. We are very positive about the prospects for the Roberto Coin brand in North America. Market reaction to our acquisition has been very positive and we see great growth potential with existing partners and new opportunities through mono brands and multi-brand showroom elevation. The preowned sector development has been very positive for our group and both the Rolex CPO program and other preowned products are exceeding our sales expectations. We have a fantastic program of major showroom projects both in the U.S. and U.K. as David and Craig will present. And we're pleased to confirm both our guidance for fiscal year '25 and our fiscal year '28 long-term target of doubling sales and increasing profitability. In fiscal year '24, the U.S. division increased to 45% of group sales and if we add the sales for Roberto Coin for calendar '23, the U.S. sales would represent 49% of the group. The major change in customer mix of our sales since 2019 has been the loss of international tourist business in the U.K. due to the removal of VAT free tourist shopping. Group sales in fiscal year '24 were 95% domestic U.K., U.S. We continue to believe that VAT free tourist shopping will inevitably return, but we have not included this in our future financial plans. Fiscal '24 group sales of the Top 8 brands shown here continue to represent 77% of total sales. Luxury jewelry was 7% of sales in FY '24. But if we include pro forma Roberto Coin using calendar '23 sales, this would increase to 14%. Preowned has been great for our group particularly since the launch last year of Rolex CPO. We have expanded procurement in the U.K. and U.S. and we have good and improving processes with Rolex for authentication and servicing. Consumer response to the availability of highly sought-after pieces albeit at premium prices has been excellent. ASP for CPO is very good. We have expanded our major watch service centers in the U.S. in Fort Lauderdale, Florida and in the U.K. in Manchester and we have opened a follow-up facility in Leicester. This is in response to increased servicing demand and to support the capacity for the increasing preowned businesses. Luxury jewelry will play a major role in our further expansion plans. We feel both super positive for the growth prospects of Roberto Coin in North America and we look forward to the opening of our new concept of a multi-brand luxury jewelry showroom in Manchester next spring. If and as we expect this is successful, we will expand the concept in the U.K. and U.S. This is not currently reflected in our plans. In fiscal year '24 we stepped up our client engagement activities through increased client events, expanding our virtual boutiques U.K. and U.S. servicing clients digitally and we completed our exclusive partnership with American Express Centurion in the U.S. Our group continues to focus on our wider responsibilities towards our colleagues. We are proud to be a Living Wage Employer in the U.K. and we continue to achieve high engagement scores with our more than 2,900 colleagues. Our planet, an ongoing focus for our group with internal dedicated resource. Our MSCI rating is in fact AAA. And our communities both in the U.K. and U.S., our Foundation supports charities either who work to alleviate the impacts of poverty or educational charities such as the Prince's Trust. Cumulatively, we have donated GBP 7.5 million to the foundation since FY '21. We achieved record levels of volunteering by our colleagues in FY '24 and we have plans to further support volunteering programs in the future. I'll now pass over to David.
David Hurley: Thank you, Brian. We're happy with the continued growth in the U.S. market going from $120 million in year 1 to just below $900 million last year. We've proven that we can acquire and integrate businesses successfully, open up highly profitable new showrooms in markets such as Cincinnati where we have no presence and expand into new product categories such as preowned. I'm very proud of our team's partnership with Rolex in Certified Pre-Owned where we're one of the founding partners. It launched early in FY '24, but had been a collaborative project for most of the prior year. We continue to innovate in marketing and partnerships. We are delighted that Amex Centurion selected us as their timepiece partner given our shared goal to provide one-of-a-kind experiences and services for clients. We opened American Dream in May 23 anchored by Rolex and with our largest Cartier space. This showroom has performed beyond our expectations and we believe this mall will only get stronger as the luxury area fills out. Balenciaga has just opened opposite us and the Gucci adjacent showroom opens in the next few weeks. Our expanded and relocated Rolex boutique opened in Mall of Millennia in Orlando. Though we've more than doubled the size and added multiple seating areas, we still end up utilizing all spaces. We'll go bigger again with our third Rolex boutique in Lenox Atlanta. Lastly, we opened up our third multi-brand showroom in New York at the base of One Vanderbilt with a first of its kind new Cartier concept. It's also anchored by OMEGA and the first jewelry shop-in-shops for Messika and of course for Roberto Coin. FY '25 will be our biggest year yet for showroom projects. One of the highlights will be the Patek Philippe expansion in Greenwich, Connecticut. Our first action post acquiring Betteridge was securing an additional 2,000 square feet adjacent to the current showroom. We are currently building this out to open in the fall with almost all of that space dedicated to Patek. In FY '22 we acquired Timeless Jewelers in Legacy West in Plano, Texas. This year we will open up a new Watches of Switzerland showroom adding Rolex as our anchor brand partner alongside adding Cartier and with expanded spaces for OMEGA and TUDOR. So at the start of FY '25, we acquired the distribution rights for Roberto Coin in North America, something we had been working on for well over a year. Similar to our acquisition of Mayors, we're incredibly fortunate to inherit great dedicated teams with real expertise in their space. Brian and I have also enjoyed spending time with key Roberto Coin partners in North America and returning to our wholesale roots. And we plan to expand our branded jewelry category just like we expanded preowned through our acquisition of Analog Shift. The Roberto Coin brand continues to be led by its namesake founder and his family. It's located in Vicenza and Roberto is incredibly proud of the city's history and jewelry manufacture and his role in keeping that alive and enhancing it. At the heart of the brand's success is the product design itself and we are delighted with our partner's positive reaction to the latest designs that were exhibited at the Couture Show in Las Vegas just a few weeks ago. And of course Roberto signs each one of these pieces with a ruby cast inside the Jewel in direct contact with the person who wears it. We're going to continue to support the momentum and growth of Roberto Coin through mono brands. We're already negotiating our first locations and will be taking possession of the first spaces later this fiscal year. And we're going to support online through using our expertise to both develop robertocoin.com and developing the wholesale.com channel. Wholesale partners will continue to be the bedrock of the Roberto Coin business and we look to elevate that presence on an ongoing basis and do the same thing in our own showrooms, something that we've been working on for the last 6 months. We believe the high end Roberto Coin collection can be a key growth category and we're very excited about the potential in Canada, Mexico and the Caribbean. And we'll support all of this through increased brand marketing. I will now hand over to Craig Bolton to discuss the U.K. business.
Craig Bolton: Thanks, David. I'd like to update you on the significant developments we have been delivering here in the U.K. We have continued the rollout of our Goldsmiths luxury design across a number of key locations in FY '24, most significant being Metrocentre, Newcastle; Bullring, Birmingham; Trafford, Manchester; and this amazing expansion in Liverpool. The image here shows the scale of the transformation as we expanded our new showroom to 6,500 square feet across 2 floors anchored by significant spaces for Rolex and Cartier. We have also continued to launch luxury jewelry brands across the Goldsmith state with FOPE, Roberto Coin, Messika, Pomellato, FRED plus others, all taking a leading role. We will continue to roll out the Goldsmiths luxury design in FY '25 including our beautiful Northern Goldsmith showroom in Newcastle renowned for being the U.K.'s first ever Rolex retailer back in 1919. In November 2023, we opened and relocated the expanded showroom in Trafford Center, Manchester, currently our #1 turnover Goldsmiths showroom. This relocation allowed us to retain the previous location and build out this joint Cartier space and Hublot boutique. Both brands are very different in aesthetic and are very complementary to each other. Early trading and client feedback has been excellent. Following the successful launch of our new Mappin & Webb design, we have continued this rollout in FY '24. We have relocated our Mappin & Webb showroom in Bluewater Shopping Center from a previous space of circa 2,000 square feet to this beautiful new showroom of over 5,000 square feet accommodating large Rolex and Cartier room plus significant branded areas for other key luxury watch brands alongside a new fine jewelry gallery. As well as Bluewater, we have also completed projects for Mappin & Webb in New York, Guernsey and Glasgow and plan to continue this rollout across the Mappin & Webb estate. This continued very recently with the opening of our new Mappin & Webb showroom in Multrees Walk, Edinburgh, the luxury shopping destination in the city. The showroom is anchored with a large space for Cartier as well as branded areas for key luxury watch brands. The second floor has been designed to showcase luxury jewelry brands and our very own Mappin & Webb jewelry. In our famous 155 showroom on Regent Street, we completed a redevelopment of the Burlington floor culminating in the expansion and elevation of the Patek Philippe area. This new area is 1,300 square feet and benefits from luxurious consultation areas as well as a VIP space and dining room. Thierry Stern and Patek senior management visited in March and feedback was excellent. Across Watches of Switzerland, we continue to develop and expand our estate in FY '24 and we'll continue to do so in FY '25. Most significant being the expansion of the new Watches of Switzerland showroom in Fenchurch Street, London opening November 2024. Work continues in building the new Rolex boutique on Old Bond Street, London. Completion is planned for March 2025 for this hugely exciting project. Once complete, we will operate across 4 floors in circa 8,000 square feet and will include the first dedicated Rolex Certified Pre-Owned floor as well as 3 floors dedicated to sales and hospitality and an after-sales lounge home to 6 watchmakers and technicians. This boutique will be the single Rolex agency on Bond Street from what was previously 4 points of sale. We have also agreed with Rolex to double the size of our Rolex boutique on Buchanan Street, Glasgow. This hugely successful showroom has traded beyond expectations since opening in 2019 and now requires this expansion to allow us to service an increased number of clients as well as introduce Rolex Certified Pre-Owned in a dedicated space and create a quality after-sales area with in-house watchmakers. This project will commence early 2025. As previously announced, we have agreed to enter into a joint venture with Audemars Piguet to open a townhouse in King Street, Manchester and will be the only point of sale in the U.K. for Audemars Piguet outside of London. Across 6,500 square feet, the Grade 2 listed townhouse is being designed with the highest level of client experience in mind offering dining facilities, VIP space, music lounge and rooftop event and space. The planned opening is Spring 2025. We will develop a first of its kind Mappin & Webb luxury jewelry showroom in St. Ann's Square, Manchester. This Grade 2 listed building in the heart of luxury retailers in the city will be home to the most amazing selection of luxury jewelry brands curated across 5,500 square feet of branded spaces, hospitality, bespoke and event and space including the first De Beers mono brand boutique outside of London. All of the brands listed here will also be exclusive to Mappin & Webb in Manchester giving us a real point of difference for our clients. The showroom is scheduled to open in Spring 2025. Following the acquisition of the 15 showrooms from Signet in November 2023, we have now fully rebadged and integrated these businesses and our new colleagues. These showrooms are very much in the space of luxury watches with great potential for growth in luxury jewelry too. All showrooms are in good geographical locations complementary to our current estate. Showroom development commences in FY '25 with the relocation and expansion of Peterborough, Milton Keynes and Kingston. Trading is in line with expectations with improving trends. Many thanks. I will now hand over to Anders to discuss the financials.
Lars Anders Romberg: Thank you, Craig. FY '24 was a year of market normalization in which we continued to gain market share. Sales came in at GBP 1.538 billion or plus 2% at constant currency on FY '23. Sales growth was driven by the U.S. market with growth of plus 11% in constant currency. Our adjusted EBIT of GBP 135 million versus GBP 165 million in FY '23. Our free cash flow was GBP 118 million with free cash flow conversion at 66%. Return on capital employed of 19.5%, decrease of 840 basis points from FY '23 reflecting the lower EBIT. Turning to the income statement in more detail. As mentioned, revenue at plus 2% in constant currency and flat in reported rates. Luxury watches at plus 3% in constant currency with demand continuing to outstrip supply for key brands. The luxury jewelry market was tougher, but encouraging signs in the branded jewelry, which outperformed within the segment. Net margin percentage declined by 80 basis points due to product mix with luxury watches including preowned outperforming jewelry. We also had an adverse impact of the cost of interest free credit from annualization of higher interest rates. Increased costs came from expansion of our showrooms estate, but the remaining cost base was well managed. Our adjusted EBIT margin contracted 190 basis points to 8.8% and adjusted EBIT for FY '24 came in at GBP 135 million. Our effective tax rate for the year was 30.3% or up 890 basis points on FY '23. This is due to the higher U.K. corporation tax rate, Europe losses where no deferred tax assets recognized and the reduction in the share price on bond share-based payment deferred tax assets. Adjusted EPS came in at 38p or down 28% on prior year. Our balance sheet is strong. Continued investment in expansion of our CapEx to elevate the network and drive future growth remains a key component of our strategy. Inventory levels were up 10% reflecting the acquisition of Ernest Jones showrooms and investment in our preowned business, which is performing really strongly. Underlying inventory levels and turns remained healthy. We closed the year with net cash of GBP 1 million versus GBP 16 million in FY '23. Our free cash flow for the year was GBP 118 million with a cash flow conversion of 66%, ahead of our guidance. We continue our investment in elevation program and spent GBP 78 million in expansionary CapEx during the year. Acquisition expenditure reflects the purchase of the luxury watch showrooms from Ernest Jones. In May '23, we replaced our old facilities with a new GBP 225 million revolving credit facility increasing the liquidity headroom by GBP 55 million. To finance the Roberto Coin Inc. acquisition, the group secured a new USD 115 million term loan. This maintains the group's liquidity and financial flexibility to support ongoing growth in the business. Net debt to EBITDA leverage, including Roberto Coin, on a pro forma basis came out at 0.6x. There is no change to our guidance for FY '25. Our guidance is based on visibility of supply of key brands and includes confirmed projects, but excludes uncommitted projects and acquisitions. Sales are expected to come in between GBP 1.67 billion and GBP 1.73 billion or plus 9% to 12% in constant currency. Our adjusted EBIT margin is expected to expand between 0.2% and 0.6% on FY '24. We will continue our investment program and expect to spend between GBP 60 million and GBP 70 million of capital in the year. Our free cash conversion is planned to come in at circa 70%. Finally, the glossary includes key definitions and a summary of our reporting timetable next year. We're modifying the way we report next year with routine updates for the half year and the full year being unchanged alongside 2 qualitative commentaries during the year. We believe the amended reporting timetable will allow us to better articulate progress towards our long range plan targets and is in the best long-term interest of the company and its shareholders. With that, I will now hand over to Brian for an update on our LRP.
Hugh Duffy: Thanks, Anders. Now turning to our long range plan. We have exciting growth plans through to fiscal year '28. A very strong program of showroom investments, luxury jewelry expansion through Roberto Coin and other initiatives, the preowned category, becoming an important online retailer in the U.S. and acquisitions and new projects in the U.S. Showroom investment has been core to our growth and we have the most exciting program of investments planned out in future years. In the LRP period, we will complete our upgrades and expansions of all acquired showrooms in the U.S. and we have some great projects coming up soon like Legacy West in Plano, Texas; the first of the Betteridge showrooms in Vail, Colorado; our return to Jacksonville, Florida; and a fantastic new location in Tampa, Florida. In the U.K., we will complete all upgrades of the Mappin & Webb and Goldsmiths showrooms, including the acquired Ernest Jones showrooms in the LRP period together with new exciting mega projects: the Rolex flagship boutique in Bond Street, a doubling of the Rolex boutique in Glasgow, the first and only Audemars Piguet house outside of London and Manchester and the new all luxury jewelry concept also in Manchester. We are very excited about our potential in luxury jewelry. The market reaction to the Roberto Coin brand and products that David and I experienced directly at the JCK Couture exhibition in Las Vegas was very positive. We have completed our initial growth plans and we are active in negotiations for the first mono brand Roberto Coin boutiques. We have had initial discussion with some potential brand partners for franchise stores and our teams are working with the Roberto Coin teams in Vicenza on marketing, store development and digital plans. We are actively expanding and remerchandising Roberto Coin in our [indiscernible] showrooms. The luxury jewelry concept showroom, which opens in Manchester in Spring 2025, is a very exciting prospect. The showroom design is spectacular. The design includes a De Beers mono brand and the introduction of David Yurman, Pomellato, FRED and Repossi in addition to strong existing brands of FOPE, Messika and Roberto Coin and there is more to come. We have not assumed the rollout of this concept in our plans, but we have high hopes of expansion. Preowned is going very well and ahead of our expectations. In response to the strong consumer interest, we are ramping up our capabilities in product procurement and servicing and specialized training. We are also planning in-store a window branding, increased marketing and the development of online and digital support. Both Rolex CPO and other preowned will contribute more to future growth than previously planned. The online opportunity in the U.S. is big. We are investing in this opportunity with dedicated resources and in marketing and technology. Around 41% of group sales in the U.S. came from businesses acquired. We have proven that we can integrate, transform and grow acquisitions and deliver attractive returns. The U.S. market remains underdeveloped and there are opportunities for both acquisitions and new projects. Our LRP includes our best estimate of investment capital and growth from these opportunities. And now back to Anders.
Lars Anders Romberg: The plan calls for more than doubling of sales and EBIT over the 5 years. The chart illustrates the building blocks behind our model and in the case where we see the market opportunities. Vertically shows in which market we see the opportunity and the horizontal access indicates the size of the opportunity. It's indicative only so please don't bring out your ruler. Capital investments into existing showrooms is a proven model with good returns. We plan to spend between GBP 300 million and GBP 350 million in this area, which includes space expansions and/or relocations. Historical paybacks has been between 2 and 3 years on these kind of projects. E-commerce growth is expected to continue and certified preowned will further drive growth in this channel. There is a significant opportunity for growth in the U.S. e-com space. From the initial results of Rolex CPO and other CPO since launch, we now expect CPO to outperform our initial plans. Luxury branded jewelry is an area where we see significant growth potential particularly following the acquisitions of Roberto Coin Inc. The Ernest Jones showroom acquisition will also drive further growth in the U.K. We plan between GBP 350 million and GBP 500 million spend on acquisitions and new showroom projects. We are ahead of schedule on acquisitions with the Ernest Jones and Roberto Coin Inc. acquisitions delivered and now expect total acquisitions to be towards the top end of our guidance. Our track record of acquisitions is very good with a payback of between 4 and 4.5 years. As mentioned, we expect improved operational leverage with EBIT margin improving between 50 basis points and 150 basis points on FY '23. We expect free cash flow conversion at circa 70%. And I will now hand back to Brian for some closing remarks.
Hugh Duffy: And so we're in a positive frame of mind. Our model works, we have maintained our investment program and we will continue to invest for high quality growth. The luxury watch market is strong and consistently well managed by the Swiss brands with a focus on product quality and innovation. Demand exceeds supply for luxury watches. The preowned category is dynamic and growing and we are performing very well in this segment. The luxury jewelry category offers exciting growth prospects. We plan to do in jewelry what we've done in watches. Roberto Coin is simply a fantastic brand. We have been very successful in the U.S. and we will both acquire and add new showrooms in this underdeveloped market. Our group purpose and values are very important and we will continue with our ESG agenda. And finally, we confirm both FY guidance and our LRP goals. Thank you. And that concludes the presentation. And Anders and I will now take your questions.
Operator: [Operator Instructions] And our first question comes from Adrien Duverger from Goldman Sachs.
Adrien Duverger: Congratulations on the good set of results. I just had a couple of questions. Maybe the first one on the U.K. Can you please comment a bit more on what you've seen in last couple of months? I think since the month of May, you seem to be much more confident that the market is stabilizing or improving from what you said in May. So if you can please comment on that, that would be super helpful. And then maybe the second question would be on the U.S. market. Could you please comment on your expectations in the U.S. given this will be an election year? I think some of your peers have commented that this may delay spending particularly on watches and jewelry. And maybe if I can have just a final one on the CPO. I think this is becoming a bigger part of the business. So if you could maybe comment a bit more on this. I seem to remember that your target is for CPO to be 20% of new Rolex in the U.S. by full year '28. So is that still the case and how is sourcing progressing and how you are tracking against the plans that you mentioned earlier?
Hugh Duffy: Obviously we're not going to give any specifics about current trading. We did make the comment that there were signs of stabilization in the market. I think the market did experience in addition to the kind of normalization of the market that was happening globally and the U.K. had the particular impact of higher-than-average price increases particularly affecting the kind of premium position kind of GBP 4,000 to GBP 8,000 price point. Higher price increases, product that appeals to an aspirational segment group who were obviously more affected by interest rates and so on. So it was a bit of a sticker shock as we've referred to as and obviously as time goes on, that shock lessens and at the same time we've had a good response from our brand partners to the U.K. market positioning, which is a bit different than the rest of Europe. And so it's benefiting the situation that we had particularly in the back half of last year, but we really can't give any more specifics on that. It's early days. We are calling for a major turnaround in macro and we've continually said we won't call that till we see it. We've obviously got an election just around the corner and we'll see what happens to consumer after that. But the U.S., yes, you're right. I mean maybe we've heard it from everybody in the U.S. What always happens is a bit of instability in an election year and then things turn positive post November when the election results are known. We've kind of anticipated that in the numbers that we've done and that kind of remains our view. But fundamentally it is an underdeveloped market, I think that's proven beyond any doubt and we have a lot of really exciting programs that we're working on in the U.S. and leading to us gaining share in whatever the market conditions are as we did in '24, confident we'll do in '25 and beyond. Similar situation in the U.K. that we continue to invest and gain share. So it's early days and obviously in a new financial year, but anything that we've experienced so far has been dealt into our thinking and confirming our guidance for the year overall. CPO really has been great. I think some surprises to everybody is much more of a store-based business and much more of a conversion of traffic come into store and realizing that they have the opportunity of buying these wonderful products albeit most commonly to premium pricing, but products are guaranteed by Rolex in particular. And so it's been great for us. I think that we did say when we did the first LRP presentation in November that we thought sourcing would have been a restriction in the U.K. We've been more successful in sourcing than we thought back then. So it's one of the reasons why we're even more optimistic about CPO. We are confident that we can follow the demand. The demand is clearly there. There's more to come from marketing and in-store presentation and so on. So we think there's more to come from the point of view of stimulating even further demand. We have big projects coming up like the Rolex store in Bond Street that will have a dedicated floor, similar dedicated space for the Rolex boutique in Glasgow. So a lot of really good stuff and we're now more confident we can follow it from a procurement standpoint. So we are more confident and more ambitious about CPO than we indicated in November based on the experience that we've had.
Operator: We will now take our next question from Jon Cox from Kepler.
Jon Cox: A couple of questions for you. I see the Rolex CPO where you are in terms of share of revenue. I'm not really talking about the long range plan. I think you've confirmed that it is currently your second biggest brand effectively. I think I've mentioned a figure before of 10%. I understand you've sort of rolled back a bit on that with some of your meetings on the buy side. Just trying to get a feel for where that figure is currently in the last month or so. I imagine that's growing really quickly. Second question, the usual one, discussions with other partners on the jewelry side of the equation. Anything going with some of the bigger names in jewelry and whatever plans you may have on that? And then thirdly, just on the VAT tax, any sort of thoughts about when that might happen post an election in the U.K.?
Hugh Duffy: So just going in reverse order. The VAT tax, I think [ colleagues ] to buy the [indiscernible] from the impending Labour government of focus on growth and focus on business friendliness and if that is your focus when you look at the facts on the VAT free situation, our belief is it can help arrive at the conclusion that we should be as the rest of Europe is in offering VAT free shopping for tourists. The statistics are compelling in terms of the growth that Europe is experiencing that's totally missing in the U.K. and we're certainly very hopeful that most likely new government will be much more supportive of retail. We're a huge employer of the retail sector. We have big challenges in business rates and then we've had a sort of major challenge of the absence of VAT free shopping and it's been everywhere. There's been great press coverage and great support. There's been lobbying and everything that's gone on. And surprisingly, we thought it could well have happened by now, obviously hasn't. In our view is that it's inevitable, but we haven't put it into any numbers at this point. Nothing has come from the government specifically on it as part of the election campaign at this point, but hopeful. That's more or less all we could say on it. Again still going in reverse order, the jewelry brands. I think we've got a fantastic portfolio of brands coming into Manchester. The De Beers mono brand, David Yurman is a huge brand in the U.S. and we'll be giving really prominent space to them, obviously also to Roberto Coin and then you add wonderful international brands like Pomellato for example. In addition to FOPE has been a fantastic brand for us, Messika really going well. We're going to have a wonderful portfolio. We'll have some niche brands from West Coast America. Some really interesting things in vintage. We've got a lot and a lot that we're still working on. And of course never slow in knocking the door of the big brands and talking about our activity and it has got attention within the kind of luxury jewelry world for sure. We are doing something that's new that hasn't been done before and we have a reputation for execution at the highest level. So we're working on it is the answer to that, but no specific news of the kind of brands that I think you're referring to. CPO, we're not going to give a percentage at this point as to where we are. We more than doubled in Q4 and we gave out that stat and continue to enjoy that kind of performance at the moment U.K. and U.S. I mean you may follow the secondary market prices out there, but there's somewhere between stabilized to modest improvement in terms of market prices in the secondary market, which I think is good. We've been maintaining pricing and margin all the way through, but we pretty much see that as a positive move as well. So we will report more in CPO as we go, but we're not going to give out the percentage at this point.
Jon Cox: Okay. I wondered just on the Roberto Coin transaction. Are you seeing any signs of pushback now that you've done that deal from the bigger luxury jewelry brands where [indiscernible]?
Hugh Duffy: No, Jon. Not at all. I'll tell you what by being at JCK Couture, which is a major event in America which is the best jewelry market in the world, just being there and getting the market response. People were just so complementary of what a great dealer is, what a great brand it is and what a great organization it is to deal with; all of which we had experienced and seen. None of the big brands are going to come back in -- I don't think question. Not any of the even competing brands within the store. I think it's seen as a good move for us. As I say, we have a reputation for investment, for ambition, for believing in the categories, for executing very well and it's good for everybody. What we had anticipated was maybe a bit of a reaction from some wholesale distribution and the news on that is positive in that we again made a good cross section of the distribution in biggest department stores are all totally fine and ambitious for the brand and they see it as positive that we'll be bringing investment and other resources to the business. And similarly, the significant independents, many of whom we know in any event from watch relationships were all very positive as well about the brand and what we can bring to it. So all of the experience so far has been good on the products, on the client reaction, on the existing wholesale distribution reaction and we love the team and we love the brand. So it feels great.
Operator: [Operator Instructions] Our next question comes from Richard Taylor from Barclays.
Richard Taylor: Just another question on preowned. What are your expectations for your market share going forward versus new? And what sort of competitive advantages do you think you hold from your scale as you look to grow further in this market versus some of the other operators? I recall IPO for example you talked about the benefits of selling products to customers in other branches if the product wasn't available in that customer's home store. So do you see any advantage from that at the moment? And how do you think you can leverage your customer database to turn the product?
Hugh Duffy: Yes, to all that, Richard, I think scale is important in this area preowned and procurement and on stock management and you're right. I mean when we were in a position of having much more stock in store, we were able to take kind of national advantage of it with making product available and moving product around the country or around the terminals at Heathrow or whatever. And is already benefiting from that to some degree and will do as this business develops. So many benefits. [indiscernible] and preowned the marketing, the in-store presentation, window displays. I mean it's a pleasant surprise to people to come into the store and ask about Rolex and previously the only option we'd had with them was to say well, we'll take the name and put them on a wireless. Now we have this other option of actually you can buy it today and let's show you what's in offer. But nothing in windows, nothing generally understood out there in the market so a surprise alright. Also in merchandising as we improve procurement, we'll be buying into much more balanced merchandise mix and kind of really develop the presence in store. So I think there's a lot to come and I think scale and technology are definitely relevant advantages. Again we don't know our share of the distribution plans with Rolex globally started with [indiscernible] and our sale has been expanded a bit for the U.K. and U.S. But at this point, we don't know share position. But yes, we are I think advantaged here fundamentally because of scale.
Operator: [Operator Instructions] And it appears there are currently no further questions in the phone queue. With this, I'd like to hand the call back over to Emilia for any web questions. Over to you, Emilia.
Unknown Executive: Thank you, Serge. It appears that we currently have no written webcast questions at the moment. So I'll hand over to you, Brian, for any closing remarks. Thank you.
Hugh Duffy: Thanks, Emilia. And thanks, everybody, for joining. We're feeling good going into this year about the market, about our plans. I think there's a lot that we did last year in investing in our business that will get the benefit for in this year and years ahead. In addition to which we have really exciting projects coming off a scale that I think is very unusual [ optimized ] by the Rolex boutique will be opening in Bond Street and big new Rolex boutique we'll be opening in Atlanta, Georgia AP house. I mean a lot of exciting things coming. In the LRP periods we'll have completed pretty much all of our update programs, all of the acquired stores in the U.S., all Goldsmith, all Mappin & Webb and I think that's again very significant for our future. The basis that we've done our '25 guidance on obviously hugely influenced by the supply driven brands. But again we have units and in addition to that, we have indications of ASP which once again we're using. So we feel that that's totally reliable. Added to that, we have the momentum in CPO that we are structuring to take full advantage on it. We've just discussed we feel great about Roberto Coin and what we're doing in luxury jewelry. We've also made stepups in terms of our infrastructure to support the growth that we are as we report that our U.S. business is now more or less half of our worldwide business and we've gradually moved resources to the local market in the U.S. and kind of culminating moving into nice offices for everybody in the last few weeks, which I saw when I was last there. And finally, we get everybody back together again. Everybody has been working remotely more or less since lockdown time. So that's another great step up and along with investing in systems and our organization to support that growing business. So '24 is behind us. We're into '25 and we're feeling confident about the year. We're feeling good about the market trends that are there and confident enough for us to again look at our LRP that we've looked at in some detail and we still believe that we can deliver on that. Fundamental to everything obviously is our great teams throughout our organization. They've been through a really tumultuous period from a market standpoint. They've been fantastic. They deal with whatever comes their way and optimize all of our stats on client service and client response are all headed in the right direction. So they're really doing a fantastic job in stores, in our head offices and our thanks very much go out to them. Well, thanks for joining us and obviously we'll see you at the next call. Thank you.